Operator: Good day and thank you for standing by. Welcome to Loblaw Companies Limited First Quarter 2021 Earnings Call. At this time, all participants will be in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Roy MacDonald. Please go ahead, sir.
Roy MacDonald: Great. Thank you very much, Jacqueline. Good morning, and welcome to Loblaw Companies Limited First Quarter 2021 Results Call. I'm joined in the room this morning by Galen Weston, our Executive Chairman; Sarah Davis, our President; and Darren Myers, our Chief Financial Officer. And as always, before we begin the call, I want to remind you that today's discussion will include forward-looking statements which may include, but are not limited to, statements with respect to Loblaw's anticipated future results and the impact of the COVID-19 pandemic. These statements are based on assumptions and reflect management's current expectations. As such, they are subject to a number of risks and uncertainties that could cause actual results or events to differ materially from our expectations. These risks and uncertainties are discussed in the company's materials filed with the Canadian securities regulators. Any forward-looking statements speak only as of the date they are made. The company disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, other than what's required by law. Also, certain non-GAAP financial measures may be discussed or referred to today. So please refer to our annual report and other materials filed with the Canadian securities regulator with a -- or for a reconciliation of each of these measures to the most directly comparable GAAP financial measure. And with that, I will now turn the call over to Darren.
Darren Myers: Thank you, Roy, and good morning, everyone. First quarter generated strong financial results that reflected continued improvement in our business. As we report on our second year of the pandemic, comparable numbers do not tell the entire story. As such, I will include commentary on two-year average growth rate as applicable to provide further context on our operating performance. On an adjusted consolidated basis, our reported revenue for the first quarter grew 0.6%, EBITDA increased 4.5%, net earnings increased 12.3% and earnings per share grew by 16.5%. Looking at Q1, on a two-year basis, we saw average growth in revenue of 5.5%, adjusted EBITDA up 8.2% and adjusted earnings per share growth of 20.4%. Our food and drug businesses continued to perform well in a challenging and dynamic environment. As a reminder, retail revenue in Q1 last year included an estimated $750 million in incremental retail sales related to stockpiling. Additionally, because of the inclusion of a 53rd week in 2020, our 12-week same-store sales period in Q1 lapped an extra week of elevated sales from last year. This resulted in a negative impact on our reported Q1 2021 same-store sales of approximately 100 basis points in food and 170 basis points in drug. Food retail same-store sales were relatively flat, up 0.1% in the quarter. Same-store sales continued its strong momentum from the fourth quarter before lapping the COVID-related pantry stocking from 2020 which drove same-store sales last year of 9.6%, including 44% in the final two weeks of the quarter. Our average article price was 3.9% for the quarter and unchanged from Q4. The increase in average article price compared to last year was driven by sales mix, and we continue to see outsized basket growth and traffic declines in the quarter. On a two-year rate, food same-store sales reflected average growth of 4.9%. Same-store sales in Drug retail declined 1.7% in the first quarter. Front store same-store sales were lower by 6.4%, while pharmacy same-store sales grew 3.5%. Front store same sales continue to be impacted by sales mix. Front store sales lapped strong sales of 10.7% last year, including 42% growth in the final two weeks of the quarter. Pharmacy performance was strong. However, against last year's COVID-related surge, we recorded a prescription count decline of 0.8% and an average prescription value increase of 2.4%. On a two-year average rate, drug same-store sales have grown 4.5% with Front Store plus 2.2% and Rx at 7.1%. Retail gross margin was 30.3%, an improvement of 50 basis points compared to the first quarter of 2020. Gross margin improved in both food and drug as a result of underlying improvements we have been driving throughout the business. Compared to Q1 2019, gross margin was -- has improved by 20 basis points. Retail SG&A as a percentage of sales was 20.5%, with the rate increasing 70 basis points compared to the first quarter of 2020. The increase was primarily due to lapping cost leverage from stockpiling in 2020, incremental COVID-19 related costs and higher e-commerce labor costs from increased sales penetration, which more than offset P&E improvements. COVID cost came in at $48 million in the quarter, in line with our expectations. Our online business continued to generate strong top line growth, and we demonstrated progress in driving sequential improvements in our operational metrics and profitability. Compared to Q1 2019, our retail SG&A rate was flat despite heightened COVID costs and headwinds from our online growth. Retail adjusted EBITDA declined by $12 million in the quarter. This compares to last year when we recorded year-over-year growth of $176 million, which was elevated, primarily a result of stockpiling in the final two weeks of the quarter. PC Financial, revenue was down $13 million in the quarter, driven by lower interchange income and credit card-related fees due to lower customer spending. Adjusted EBITDA at the bank increased $65 million year-over-year, primarily driven by changes in the expected credit loss provision. In Q1 last year, at the beginning of the pandemic, we recorded a $50 million ECL provision. Based on improving economic factors, we released $20 million of the provision in Q1 this year. On a consolidated basis, adjusted EBITDA margin was 10.3% in the quarter, up 40 basis points compared to last year. In the quarter, IFRS net earnings available to common shareholders was $392 million, up 12.3% and fully diluted earnings per share were $0.90, an increase of 36.4%. Free cash flow was $288 million in the quarter, and we repurchased 5.4 million common shares at a cost of $350 million. As we look ahead, there remains a great deal of uncertainty as the course of the pandemic-related lockdowns and the resulting impact on consumer behavior remains dynamic. We are pleased with the strong financial performance of our first quarter, which exceeded our internal plan. We have seen that momentum continue into the second quarter, putting us in a position to exceed our full year EPS outlook. Given the ongoing uncertainty and volatility related to pandemic, we are not updating our outlook this early in the year. Our COVID-related costs remain elevated, and we expect costs in the second quarter to be in the $65 million to $75 million range. This being my last quarter, I'd like to say thank you to our investment community. I've enjoyed working with you and getting to know you over my time at Loblaw, and I wish you all continued success. I will now turn the call over to Sarah.
Sarah Davis: Thank you, Darren, and good morning. We started the year with strong results, extending the steady and sequential improvements that we have delivered for three quarters now. Our core business is healthy, and we continue to actively leverage our assets to deliver value to our customers as the pandemic continues to impact the lives of Canadians. As mentioned by Darren, in extraordinary times, it's helpful to look at a two-year average growth rate. Our consolidated Q1 2021 performance exceeded our financial framework on a two-year stacked basis with average revenue up 5.5%, EBITDA up 8.2% and EPS up 20.4%. In Q1, our food businesses held strong with same-store sales up 10 basis points, lapping growth of 9.6% in Q1 of last year. This was driven in part by lockdown conditions and strong eat-at-home trends. Q1 delivered market share gains with continued strength in market and sequential share improvements in discount. Our grocery stores gained tonnage and dollar share, while our inflation remained flat to Q4. As was the case through 2020, we have managed margins carefully to keep prices in check for Canadians in ways that set us apart from the market. In our drug segment, same-store sales declined 1.7%, growing 3.5% in Rx and declining 6.4% in Front Store. There are two driving forces here. First, our drug stores are negatively impacted by lockdown, specifically in important areas like beauty; second, we are lapping last year's inflated Rx and Front Store sales. Ultimately, we are pleased with the position and performance of our drug business. As I called out in Q4, we're seeing strong results in convenience and food. Our beauty sales are down, but our share is up, and our pharmacy business continues to grow as we play a bigger part in community care. I want to highlight the great work of our pharmacists, who have been key to the testing and vaccination efforts in most provinces. We have nearly a dozen different programs supporting COVID testing for travelers, workplaces, schools and more. And we've already vaccinated over 700,000 Canadians to date, reaching people conveniently and close to home. Just to give you a data point, in most markets, our contribution to the vaccination effort is greater than our pharmacy market share. While the revenue impact of these testing and vaccination programs has not been material thus far, they certainly show the trust consumers have for our pharmacists and our place in community health. Across our food and drug businesses, we continue to manage COVID costs, operating well under modified conditions and adapting to pandemic-related pressures on our mix. Best of all, our customers are adapting with us and our satisfaction scores remain very high. Let's take a moment on e-commerce, as I know people are keen to understand what is happening in digital retail as the pandemic conditions continue. In Q1, we had three digital priorities. First, to improve customer service; second, to margin up through additional offerings; and third, to lower our cost to serve. We improved on all three priorities while serving more customers than ever. Revenue increased 133% over last year. And as the business grew exponentially, we delivered our highest bill rates, lowest wait times and the best satisfaction scores of all time. Across the business, we're appealing more and more to those who transact online for the things that matter in life in food and drugs, rapidly growing programs like the PC Money Account and the PC Health app and loyalty where we're primed to give Canadians more than $1 billion in PC Optimum rewards again this year. We have all the pieces assembled, an unmatched store network, unmatched loyalty, culture and satisfaction scores that have improved even as we face the challenges over the last year, and clear line of sight to process and efficiency and data programs that will continue to make our company run better. As you know, starting May 6, I'll be observing our company's teamwork and achievements in retirement, as an admirer and a customer of Loblaw. I'm extremely proud of the progress and accomplishments of the company over the past 14 years and even more proud of my colleagues. Great people with a strong culture, I can't thank them enough. I'm pleased to be leaving the company in a strong strategic position with operational and financial momentum and tremendous opportunity. To those of you on the call, the investment community, I've enjoyed working with you through my years as CFO and then as President. I wish you all continued success and happiness in your careers and in your lives. I'll now turn the call over to Galen.
Galen Weston: Thank you, Sarah, and good morning. I'd like to begin by acknowledging Sarah's retirement after a stellar 14-year career with Loblaw. As many of you will know, Sarah has been an essential part of the most transformative moments in our company's recent history. Throughout that time, she's been an exceptional leader and an invaluable strategic partner and a terrific person. Her unwavering commitment to colleagues and our customers has made Loblaw a better company. I know you join me in wishing her our best. I'd also like to take a moment to recognize Darren's contribution over the last three years. During that time, he's been an excellent financial steward, advancing our capital discipline and process and efficiencies, and he's been a lively contributor to our executive management board. I know you've appreciated his style and candor, and that you join me in wishing him well. As Sarah and Darren move on, Richard Dufresne and I return with considerable enthusiasm and a clear focus on the future. At Loblaw, we have a unique and complementary portfolio of market-leading assets. Together, they provide us with a powerful value proposition and unrivaled long-term potential. We look forward to that future and to our ongoing engagement with the investment community when we are more firmly in our seats. While we don't know what COVID-19 will hold in the near term, we are far enough into 2021 to know it will be a better year. I think that's true for society and for our business. Here's what we know today. We're now on our fourth quarter of sequential performance improvements, our determination to lower prices to serve Canadians and our company well, and trust in our brands has never been higher. As we look to deliver fantastic supermarket choices and industry-leading pharmacy-based community care through the nation's best retail and e-commerce networks, our job is to build on this strong foundation and to seek more ways to make our networks hum and our assets shine. As we enter into what we hope will be the home stretch of the pandemic, I want to express my admiration for our people, our business and our team of 200,000 Canadians have set a high standard hitting challenges head-on. Whatever the consumer demands, they kept Canadians fed and well through phases of panic buying, fewer public spaces and efforts to put this pandemic behind us, including through our mental health services and nationwide vaccination effort. Loblaw is well positioned to create value over the long term. I'd now like to open the call for questions.
Roy MacDonald: Thank you, Galen. Jacqueline, could I ask you to remind participants how to ask a question?
Operator: [Operator Instructions] Your first question comes from Irene Nattel from RBC Capital Markets.
Irene Nattel: Before I ask my question, just want to express thanks and congratulations and best of luck to Sarah and Darren. It's been lovely having them. Just moving on to other stuff. Very nice performance in Q1. Can you talk a little bit more about the momentum that you're seeing in discount and conventional? How baskets are evolving, whether there's any change? And also the competitive intensity that we're seeing because I think Metro noted that they saw a bit of an uptick in promotional penetration during their quarter.
Sarah Davis: Okay. So maybe I'll start, and Darren can add something if he likes. So certainly, what we're seeing is, well, during lockdown periods that we're experiencing in Ontario anyways, the market division performs better. So we would have seen that through any of the lockdown period through Q1. But what we are seeing is a bigger momentum in discount as it starts to come back in terms of share performance. So the performance and share performance per discount was more substantial than it was in market in Q1. So basically, we feel good about both sides of the business. They react differently as we go through different parts of the pandemic, but well positioned for the rest of this year.
Darren Myers: I would also just add, to your other part of your question, Irene. I don't -- I wouldn't say that we're seeing more noted promotional intensity from before. I think it feels about the same as what it -- it's staying consistently competitive. Nothing we would call out specifically.
Irene Nattel: That's great. And if I might, a question around inflation, obviously, extremely topical. Can you talk about what you're seeing and how it's playing through in both center of store, but also in fresh and whether you've yet seen any reaction in consumer behavior?
Darren Myers: I mean inflation is going to be, of course, a hard one to predict. I'd say, so far, things have been in check. I mean, I think you know CPI was 0.9% for the quarter. So, so far things have not raised. Our average article price was 3.9%, but that's really based on mix and people buying club pack sizes, and it was unchanged from Q4. So, so far, not seeing large increases. Certainly, as the year goes on, there is more talk everywhere about inflation. But I would not want to try to take a guess of what inflation is going to do.
Operator: Your next question comes from Mark Petrie from CIBC.
Mark Petrie: I wanted to ask about gross margin, really nice result, nice rebound in Q1 after some pretty notable pressure particularly in the food business or in -- but in retail overall, Q2 to Q4 of last year. Could you just talk about the sort of different puts and takes there, be it sales mix, promo investment, leveraging data assets? And then how should we think about lapping Q2 to Q4 of last year where margin was under some pretty significant pressure?
Darren Myers: Yes. Mark, can you hear me, by the way, we're getting a little comment. Are we okay?
Galen Weston: Okay.
Mark Petrie: Yes, yes. All clear.
Darren Myers: Right. So yes, I mean, we're very pleased with the continued improvement. We saw increases in both food and in drug. I would say there's not kind of one specific item that's doing it. It's a series of things, a number of initiatives, including the ongoing pricing adjustments we were making through last year and continue to fine-tune our pricing. We also have a number of sourcing initiatives and as well our strategic vendor program this year. And the other thing I would also add on the drug side, we did see -- we had Front Store pressure still on the margin, but we saw a nice lift from all the services and the growth that we've seen in services. So both businesses doing well. And as we look forward, I mean, we do think this is -- these are sustainable improvements. Of course, it depends what happens in the competitive environment. But we feel good about the fact that we can sustain these. And to your point, we'll be lapping in Q2 some pressure that was there last year. So the margin is in a decent place, certainly, going into this quarter.
Mark Petrie: Okay. And then I guess, just specifically with regard to Q2, I think last year, part of the issue was around the general merchandise and apparel parts of the business or the right-hand side of the store. Should we expect better sort of stability from that in 2021, be it on sales or margin?
Darren Myers: I mean certainly, we're lapping a lot of challenges last year. So even in Q1, we didn't really see an impact on the -- from the right-hand side, which is good, given that we weren't really seeing the impacts in Q1 last year to the same extent. So it's still going to be volatile with lockdowns and different things happening at businesses like Joe right now. But all in all, to your point, we'll be lapping some poor performance last year -- challenging performance last year. And so that should get better as we keep going through the year.
Sarah Davis: Yes. And maybe I'll just add a little color. So if you remember, in Q2, we did have the negative impact on apparel and GM. GM actually picked up in Q3. So it was positive as we sort of sorted through that, and we're able to sell some more general merchandise margins in both apparel and GM have improved as well. So to Darren's point, on Q1, there's -- it's across the board that we've seen some improvements. The tricky thing is to predict is whether we'll be able to sell it. So right now in Ontario, we're not allowed to sell any apparel in our stores. So that, for sure, is going to have a negative impact on the sales there in Q2. And some general merchandise that we're not allowed to sell either. So it's tricky to predict the rest of the country we can. And of course, we have a pretty dominant business in Western Canada when it comes to GM and apparel. So that's still -- we're still able to sell there. But overall, you'll see some improvements in Q2.
Mark Petrie: Okay. Great. That's helpful commentary. And then just second, on the SG&A side, again, in Q2, you're lapping some pretty big COVID costs. Q1, it looks like if you normalize out the COVID cost, you had some pretty good cost control and had relatively normal level of inflation. Just wondering if that's the right way to think about it for Q2 is to basically normalize the COVID costs in line with what you've guided to and then kind of run that more typical level of cost inflation through? Or if there are some other puts and takes we should be considering?
Darren Myers: No. I think that, Mark, that's the right way. So Q1 pressure, obviously, with the COVID cost in digital and what have you that I described. And then in Q2, there is a significant lower amount of COVID cost. So the SG&A will get better as a result of that. And the other thing, we obviously won't have -- which we had last year is the same SG&A pressure from digital. We won't have that same year-over-year impact that we would have had last year.
Mark Petrie: Okay. Very helpful. And wish you both all the best.
Darren Myers: Thanks, Mark.
Operator: Your next question comes from Karen Short from Barclays.
Karen Short: Actually, just on that last comment on e-comm. You obviously gave us the dilution last year at $0.20. So wondering if you could maybe give a little color in terms of how you're trending this year or thoughts into how that will look for the remainder of this year?
Darren Myers: Yes. So we're not giving the number this quarter relative to the $100 million we said last quarter. But what I will say in both my remarks and Sarah's remarks is that the profitability rate improved from Q4 to Q1. So it's -- that's from a lot of the initiatives we have in place. And then if you think about Q2 digital, with all the growth we had last year, it's going to be tougher to grow on top of that growth. So we won't have that same year-over-year pressure. So a little bit of improvement on digital profitability is probably the way to think about it.
Sarah Davis: And if you think of Q1, our digital business was up 133%. To Darren's point, you're not going to see that in Q2. So we would have had the incremental costs associated with that incremental digital penetration. And when you think about penetration, we actually increased penetration in digital from Q4 of 2020 to Q1 as well. So it's still -- we're still seeing increases in our digital business.
Karen Short: Okay. That's helpful. And then actually just on the COVID cost guidance, the $65 million to $75 million. Can you just parse out like the different components of that? And then on the SG&A, if we look at that aspect slightly differently, the SG&A was up about 2% in the quarter, excluding COVID. So it sounds like that 2% is not -- it won't be growing that much when we get into 2Q and beyond. But any directional comments there would be helpful.
Darren Myers: Yes. I think on your second question, again, some of that would be because of that digital growth, so a fair amount of cost on that year-over-year growth that we will not have that same year-over-year impact in Q2 that we just had in Q1. And then on your question, it's really not changed. I mean, it's really -- we're spending the money on safety, security, janitorial. There's also some amounts being spent further on for colleagues. So it's the same kind of buckets that we've been talking about through last year.
Operator: Your next question comes from Vishal Shreedhar from National Bank.
Vishal Shreedhar: I'm hoping to take a few steps back and maybe better understand where we are with respect to Loblaw's health care initiatives or the Connected Healthcare initiative. In aggregate, are they benefiting the company yet? Are we still in an investment phase and maybe the same question for Loblaw media and advertising.
Sarah Davis: Okay. So I'll start with health. I would say that our focus in health has very much been on working through the pandemic, serving Canadians either through testing or through providing vaccinations. But at the same time, we did launch our PC Health app in the back half of 2020, and it's starting to get some good traction in 2021 as well. And so in terms of our focus on having additional services, pharmacy services, I think we talked about it on the call last time that we are seeing tremendous growth in pharmacy services. They come with a higher margin. They would also be part of the gross margin mix that is mixing up in the pharmacy business. And so we are seeing -- it's the positive in terms of what we're seeing on the health side of our business. When we talk about Loblaw Media, we -- I think I mentioned on the last call as well that what we should expect is some -- is that it was flat basically in 2020. So it didn't have -- whatever we invested, we were able to get in revenue as well. And what we should expect in 2021 is for it to be marginally profitable, but not material at this point in time.
Darren Myers: And Vishal, just to remind you, I think I said at the last call that we were looking to spend about $20 million more on kind of that whole Connected Healthcare. So we tried to box that in for people so that they understood the magnitude of number we're talking about.
Vishal Shreedhar: Okay. I appreciate that. And with respect to Connected Healthcare, when you're saying that it is -- are you including QHR and the variety of systems that Loblaw has in that comment as well? Or is that viewed separately internally?
Sarah Davis: No, it would all be included.
Vishal Shreedhar: Okay. And with respect to pharmacy market share and management's initiatives to grow that with e-prescribing and drive adherence initiatives. Where is Loblaw? Have you increased market share in pharmacy and Rx delivery? Is that -- has that increased over the last few years? And maybe you can help us understand where pharmacy market share is?
Sarah Davis: Yes. We've seen an increase in our pharmacy market share over the last year. We've also seen, as I mentioned in my script, an increase in beauty market share as well. So despite the industry being down, we're actually seeing increases in share in both of those.
Vishal Shreedhar: Okay. And the increase in pharmacy market share. Is that due to improved adherence initiatives? Or is it a variety of initiative?
Sarah Davis: It's a variety. But I would say definitely, adherence would be part of it, offering different services would be part of it as well. As people come in for COVID testing or for COVID vaccines, there's always something else that comes with it. When you consider in Q1, we did 700,000 -- we've done 700,000 COVID vaccines, but we also did 2.1 million flu vaccines. So all of that would be part of increasing our share.
Vishal Shreedhar: Okay. Okay. And then how about with respect to Project Delta? Are the benefits from that initiative -- are they fully captured yet? Or are we still -- should we still expect more?
Sarah Davis: I would say that the systems piece is -- it's pretty much behind us. We will continue to see some savings from that as we go forward, but it's not a thing that we're calling out in terms of a big number in terms of the savings we'll see.
Vishal Shreedhar: And best of luck to Darren and Sarah as you move on to your next step.
Sarah Davis: Thanks.
Darren Myers: Thanks, Vishal.
Operator: Your next question comes from Patricia Baker from Scotiabank.
Patricia Baker: I have a few questions. So just going back to the gross margin trend, which I have to say was a very welcome highlight of Q1. So you noted that you're continuing to see pressure in the Front Store on the gross margin. And presumably, a large part of that reflects the shift in mix associated with not being able to sell as much beauty. I'm just curious whether or not if we walk away from the beauty impact on the gross margin, are you seeing relatively stable gross margin trend sequentially if we look at the rest of the business? I understand that overall gross margin would be down, but is there anything else impacting the gross margin? Or is it primarily that mix shift?
Darren Myers: Other -- it would be mostly that mix shift. Also, cold and flu would be an area that has been down. So that's another area that's a higher margin that would have hurt us. But again, the services -- the growth in services and pharmacy have certainly helped that and the other initiatives that I kind of walked through.
Sarah Davis: And in Q1, the overall margin for the drug business was actually up.
Patricia Baker: Okay. That's very helpful. And then just sticking with that, in your outlook, you gave us the first four weeks, what's happening in food and also what's happening with the pharmacy and indicated that, that consolidated pharmacy margin has actually turned positive in Q1. I'm just curious can we interpret that to mean that the front end trend has improved from that minus 6.4% that we saw in Q1?
Darren Myers: Yes, I mean, yes, we're seeing -- we're lapping a little bit of decline last year. So that definitely changes things versus the lapping of the stockpiling from last year. So we're just in a different phase, I would say, of the pandemic. And as things open up or as some of these lockdown conditions change, we should see some more improvements in Front Store.
Patricia Baker: Okay. And forgive me for this question because Sarah was speaking too fast for me to get it. But Sarah, you gave some really good improved metrics for digital. I think you gave three of them. Can you repeat those?
Sarah Davis: Okay. I'll think about what I gave. I gave that sales were up 133% Q1 2021 over Q1 2020. I think I said penetration was up from Q4 of 2020 to Q1 of 2021. And I'm trying to think of another one I might have given.
Patricia Baker: It was -- no, Sarah, with the metrics around you had improved.
Sarah Davis: I see, I see. What were we working on. So our three priorities -- I'm sorry. So our first one was on customer improvement. So definitely improving the customer service. So that would be in fulfillment rates as well as wait times. The second would be in margining up, so either through having a larger basket, which we have a substantially larger basket on our digital business than we do in store. So continuing to see that adding general merchandise items. We've been quite successful in that way as well, as well as incremental margin from having incremental customers. So that would all be in the margining up of that business. And then the third was in reducing the cost to serve. So the actual cost of picking in the stores, we had targets that were set to improve the actual cost to serve. So we are pleased to see improvements in all three of those areas at the same time, having the highest customer satisfaction we've had in our digital business in the quarter.
Patricia Baker: Okay. Perfect. That's exactly what I was getting at. And then just a broader question. So it's so great to see that finally the pharmacies in Canada are able to help with the big issue and challenge around delivering the vaccines. You said you did, I think, 700,000 vaccines in the quarter. Can you just review for us in -- across the country, where are you able to give the vaccines? And then a bigger question. Just looking at it strategically, and I guess, philosophically, do you really think that there's an absolutely bigger role that the pharmacies in this country could be playing and are capable of doing much more than you're already doing if you were given the leeway to do that and sort of really help with the bottlenecks that we're seeing and the challenges across the various regions?
Sarah Davis: Okay. So we have been able to provide vaccines in the majority of provinces. And then I would say in terms of -- absolutely. We absolutely believe that there's a larger role for pharmacy to play in the health industry of Canada. We would love to be able to provide minor ailments in all provinces. We already are able to do that in Alberta. We should be able to do that, I think, coming soon in Ontario, but it is something that we believe is very good for our business, but also good for the health care system because it provides a less expensive way to provide some of these services. And it's also more convenient for consumers without having to go line up at an emergency, in some cases, or going finding time to go to the doctor's offices. They can just stop by a pharmacy. So we think there's a bigger role, absolutely.
Patricia Baker: And just specifically, Sarah, do you think there's an even greater role you keep playing with vaccines, if you could get greater access to the vaccines that you could be -- that really that the vaccine administration should be narrowing their fleet administration?
Sarah Davis: Yes. We have -- we could play a bigger role. We have the capacity to provide 1 million a week in terms of vaccine. So we did 700,000 in the quarter, but we have the capacity to do 1 million a week across the country.
Operator: Your next question comes from Kenric Tyghe from ATB Capital Markets.
Kenric Tyghe: Just with respect to pandemic costs on a first quarter cost of $48 million, you're guiding to roughly $120 million in first half pandemic costs. And that compares to your second half of 2020 of around $127 million. Could you help us better understand sort of a range of outcomes on pandemic costs? How much of the step-up Q1 to Q2 is lockdown related? And perhaps how we should potentially just be thinking about in the absence of lockdowns in the back half of this year, how we could see that range of outcomes on pandemic-related costs?
Darren Myers: Yes. Kenric, I would -- on predicting the future, it's a little bit tough. It's going to depend on the state of the economy and the lockdowns. The more things open up, the -- of course, the lower the costs are going to be. I think Q1 is a nice indicative kind of value in terms of ongoing costs. Q2 is a little bit higher as we spend in different parts of the business and some further amounts for our colleagues. So it's hard to predict the back half at this point in time. I'm not sure I can give much more details on that, to be honest.
Kenric Tyghe: Yes. Fair enough. I just wanted to try and just better handicap the progression through the adherence. Sarah, just perhaps on beauty and specifically of your comments with respect to the share gains. Could you perhaps help us understand how much more responsive or have consumers become that much more responsive to your pulling of levers in beauty when you do? Is -- are there higher uptakes within the beauty business? Are people starting to look forward and look forward to a normalization with respect to their activities that would support higher spend in those categories? Any incremental color you could provide there on the stickiness of what you're doing and the levers you're pulling in beauty would also be appreciated.
Sarah Davis: Okay. So I think definitely, in beauty, we've seen market share increases. It's a number of things as well. Part of it is related to some of our competitors who weren't able to be open during times as well. So that was an advantage for us. But I would also say that we've been doing a lot of work digitally as well. So trying to appeal to younger consumers and consumers in the 18 to 34 range would be a specific target that we're going through. And we've been seeing some nice traction in that area. In terms of what consumers are spending on, we did see an uptick in perfumes and some of those types of items that we hadn't seen since the beginning, pre pandemic. So we're starting to see that. Of course, our trends in skincare are continuing, hair care. All of those would be trending positive as well. So it's the main cosmetics, which are down, prestige cosmetics, which are down, but seeing some improvements in some of the other areas.
Kenric Tyghe: Just on that. With respect to the share gains, if I'm hearing you correctly, it was more concentrated against your pharmacy competitors perhaps than your prestige type competitors in department stores and sort of your luxury competitor. Is that a fair characterization?
Sarah Davis: No, the market share would be gained across the entire -- all the beauty categories against all competitors.
Kenric Tyghe: Best wishes to you and to Darren as well.
Sarah Davis: Thank you.
Darren Myers: Thanks, Kenric.
Operator: Your next question comes from Chris Li from Desjardins.
Chris Li: I know there are lots of moving parts, but just on a very high level basis, when we exclude the favorable impact from lower COVID-related costs, do you expect the underlying profitability of the food and drug business to be higher this year versus last year?
Darren Myers: Yes. I mean there's been a number of improvements we've been putting in place since second quarter of last year, and they're taking hold. And so yes.
Chris Li: Okay. That's helpful. And then just on digital, Sarah, you mentioned you've been able to reduce your cost issue. Just curious to see if you can provide us maybe with a couple of examples on exactly what you're doing to achieve that.
Sarah Davis: It's pretty block and tackling things in the store, so making sure that the forecast is as good as it can be because putting the right number of people in terms of labor into the store to serve the number of orders would be a key point. Making sure that their pick routes are the most efficient that they can be. Any of those types of tactics, making sure that the whole store is involved in the efficiency of click-and-collect, and it's not just left to the digital team. So I would say that we took -- we looked at the whole process from end-to-end and looked at ways that we could improve it. And we're pretty pleased with the results we've seen so far.
Chris Li: Okay. That's helpful. And any update you can provide us on your partnership with Takeoff so far? When do you expect a decision to be made on whether to expand that deployment?
Sarah Davis: That's a good question. I would say there's no update on that. So basically, we're continuing to work with Takeoff on the one that we've got, and we don't have any other announcements to make on anything going further yet.
Chris Li: Okay. And my last question, just maybe switching on to Shoppers. For the stores where the vaccines are being administered right now, are you seeing any notable lift in terms of merchandise sales as a result of the additional traffic?
Sarah Davis: We have seen some, but we've got 1,100 stores now participating. So it's -- like it really is right across the base. So it started out as small, but quite a lot now.
Chris Li: Perfect. And I also want to wish you and Darren, all the best in your future endeavors. Thanks for all your help.
Darren Myers: Thanks, Chris.
Sarah Davis: Thank you.
Operator: Your next question comes from Peter Sklar from BMO Capital Markets.
Peter Sklar: Okay. Just first, I had a question on your discount banners. There have been periods over the last couple of years where you just didn't have your price volume, price promotion balance, correct. And I know you've been working on correcting that. Do you think you're in a good space now in terms of your discount format?
Sarah Davis: I think we're in a good place in terms of our discount format. Big part of it is the impact of COVID and the lockdowns on that business. What we do see is that when we're in lockdown, there is a bit more of an attraction for customers to go to the market stores. And that's an industry thing, not just in our business. But to answer your question, yes, I feel like we're in a good position in terms of where we are with discounts.
Peter Sklar: Okay. And just changing topics. During the -- your presentation, and Sarah, I can't remember if it's you or Galen said that you anticipate that you'll be paying out $1 billion of rewards in PC Optimum loyalty program, which is a big number. Can you talk a little bit about who pays for that? Like how much does Loblaw pay? And how much do your CPG and other suppliers pay? Like I don't believe that's a drag of $1 billion on your earnings. And can you also talk about -- just review the accounting for all of this, when was the expense accrued relative to these rewards that will be paid?
Sarah Davis: Okay. So I can start with how -- I'm not going to give you the specifics, but it's basically funded by a few different pieces. Some of it is funded by the business. Some of it is funded by the credit card and some of it's funded by suppliers. And in terms of the accounting, I'm going to leave that to Roy to follow up with you after the call on how we do the accounting.
Peter Sklar: Okay. And when you say funded by the credit card, I'm not too sure what you mean. Like you own the credit card?
Sarah Davis: It's the interchange.
Galen Weston: As people spend on the interchange that is generated, that funds a large part of the points and then people are spending it in the stores.
Peter Sklar: Okay. And then lastly, I just wanted to ask one quick question on e-commerce. In terms of very high level strategy, can you apprise us of your latest thinking on home delivery? Like we all know you have the Instacart offering, but obviously, a big slice of the Canadian market is ultimately going to be home delivery? And what are your latest thoughts there?
Sarah Davis: Okay. Maybe I'll start, and Darren can add in. So basically, we are -- predominantly, it's still click-and-collect that we see in our business. But we do think that delivery is important in some parts of the country, and we do have a delivery offering. And obviously, we have a partnership with Instacart as well, but we've also started our own delivery option. And so we do believe that both matter. But right now, click-and-collect is the predominant, what we're seeing in terms of what customers are choosing.
Darren Myers: Peter, I would just add, I think it's going to continue to evolve as technology evolves. I think the answer is going to be all of the above. It's going to be people going to stores, there's going to be people doing click-and-collect, and it's going to be delivery. And in addition to what we've already piloted, there will be three other ways. I am sure that we will be exploring and seeing what takes off at the end of the day. So I think it's going to continue to evolve.
Operator: [Operator Instructions] Your next question comes from Irene Nattel from RBC Capital Markets.
Irene Nattel: And just a couple of housekeeping type of items. First of all, can you remind us in 2020 when you were waiving the cost for e-commerce and when you stopped waiving, like how long did that last?
Darren Myers: I have right have to get back to you with all the details. It was definitely waived in Q2. I just can't remember if it started right back up, and which part of Q3 it started back up in but we can provide that.
Sarah Davis: We would have to get you the exact dates, but my memory is the same as Darren's. We stopped it through all of Q2, and we started back up in Q3, just not sure of the exact date.
Irene Nattel: Yes. So I mean, presumably, that should be quite -- now that you're charging fees -- the normal fees, again, that should be helpful to Q2 SG&A rates?
Sarah Davis: Yes.
Darren Myers: On a year-over-year, yes. Not SG&A rate, but -- because it's.
Sarah Davis: So it's into margin. It would go into margin.
Irene Nattel: Okay. Okay. Perfect. And just following up on the whole conversation about pharmacy services. What percentage of your revenues overall would come from pharmacy services at this point?
Darren Myers: I don't think we're going to disclose that today. It's a material business, but relative to the total size of our company, it's still not a high percentage.
Irene Nattel: Okay. And then just finally, when I calculated your market shares, it looked like you went up for about 24.5% of Rx dollars in 2019 to about 26% in 2020. I know you talked about adherence and a couple of other things. But are my calculations correct on that one?
Darren Myers: Roy can check with that one as well. I don't have that in front of me right now. So I don't want to just quote a number, Irene.
Operator: Your next question comes from Michael Van Aelst from TD Securities.
Michael Van Aelst: On the e-commerce side, have you already started to see the business slow in April and May? And are you actually expecting it to decrease relative to the kind of pandemic peaks of last year?
Sarah Davis: That's an interesting question. In Q4, it actually increased. So what we saw was an increase. But I think it's a reasonable expectation that it's going to start to flatten out. And certainly, to Darren's earlier point, Q2, we're not going to see the high growth that we saw last year. So -- but we do -- we did see an increase from Q4 to Q1, and we have seen an increase in period for the first period of the second quarter as well.
Michael Van Aelst: Okay. Great. And then you talked about inflation, and I know that you don't want to try to forecast it, but do you believe that the Canadian dollar -- to what extent does the stronger Canadian dollar help fight off that inflation? And if we do see inflation pick up, do you expect to be able to pass it through? Or are the conditions not conducive to that?
Darren Myers: Yes, I think the Canadian dollar will help. And then the second part of your question is hard to predict. I think I don't want to make a prediction on that. I mean generally, in times of inflation, people have done better, but time will tell how that is and where we're in this environment.
Sarah Davis: And I think a little bit of -- maybe I'll add that just in general, when there's a little bit of inflation, it's positive generally for the retailer. If it starts to get high, it affects what customers buy. So I think in that dynamic, it's hard to predict, to Darren's point.
Michael Van Aelst: Right. Okay. Great. And then on the financial services side, there is a meaningful reversal in Q1 of $20 million, but how much were the PCL reserves in all of 2020? How much did they increase? And how much of that do you think could reverse this year?
Darren Myers: I don't have the exact number in front of me in terms of how much it increased. We are still -- it was somewhere in the -- we'll get you the right number for sure, Mike. But we are not to where we were pre pandemic in terms of the reserve. And so if the economy continues to improve and the shape of the Canadian consumer continues to stay strong, you could expect to see some releases on that. But of course, time will tell on how that goes.
Michael Van Aelst: Yes. So I was just wondering how much does that play into your guidance of at least the 10% to 15% earnings growth?
Darren Myers: Nothing from here that would be into that.
Galen Weston: And Darren and Sarah, I do want to wish you best wishes in whatever you plan to do next.
Sarah Davis: Thanks.
Darren Myers: Thanks, Mike.
Operator: Your next question comes from Mark Petrie from CIBC.
Mark Petrie: Yes. I just wanted to ask about the PC Insider's program. I know it's small, but it does seem to have some strategic value. It hasn't been something that you particularly emphasized or promoted but you also do have more things that you could potentially layer into that. And I'm just wondering if you could talk about kind of how you view that program. And if it is a sort of future lever or if you've kind of determined that it kind of is what it is at this point?
Sarah Davis: Yes. I would say that we piloted it one way, and then we changed it to be a bit more universal and more -- I would say, appealing to more consumers. We're pretty pleased with the performance of it, but it hasn't been a major focus over the last bit as we've been dealing with all the other things that have been going on in our business. But I actually agree with you. I think there are a lot of things that we could layer on to it. I do think that it could have some more strategic merit than what it's getting today, but it just hasn't been the thing that we've been focused on over the last, I would say, six months.
Operator: Your next question comes from Vishal Shreedhar from National Bank.
Vishal Shreedhar: With respect to distribution center capacity, how does Loblaw feel about its capacity at this moment? And will there be any future investment required?
Sarah Davis: I think we feel we're in a pretty good position. We've been doing a bit of automation. So we had a new automated DC that is operating now in Milton for our pharmacy business. We've been expanding a DC that we have in Cornwall. That is also -- it's partially automated today. It's going to have even more automation as we go through this year, which should be operating by the end of this year. And I think we announced that, that was replacing two older facilities that we have that we're closing down. So we are -- there is some investment going on in our distribution centers as well. And those are just two that are the current ones that are happening right now.
Vishal Shreedhar: Okay. And is the technology that is being installed, will that help facilitate e-commerce from the warehouse as well? Or is that a separate issue?
Sarah Davis: It is going to help. It will help. And depending on whether it's pharmacy or food, we've got different types of technology. We have each picks in the pharmacy, which will help with that. And then we've got case picks happening in the food DC in Cornwall. But the strategy is an all-encompassing strategy.
Operator: There are no further questions. I'll turn the call back over to the presenters.
Roy MacDonald: Great. Thanks, everybody, for your time this morning. Give me a shout. I know a few of you have some follow-up questions. And mark your calendars for July 28, when we'll be discussing our Q2 results. Thanks, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.